Operator: Good morning, my name is Miranda, and I will be your conference operator today. At this time, I would like to welcome everyone to the Royal Caribbean First Quarter Earnings Conference Call. [Operator Instructions] Mr. Rice, you may begin your conference.
Brian Rice: Thank you, Miranda. I'd like to thank each of you for joining us this morning for our first quarter earnings call. With me here today are Richard Fain, our Chairman and Chief Executive Officer; Adam Goldstein, President and CEO of Royal Caribbean International; Dan Hanrahan, President and CEO of Celebrity Cruises; and Ian Bailey, our Vice President, Investor Relations. During this call, we will be referring to a few slides, which we have posted on our investor website, www.rclinvestor.com. Before we get started, I would like to refer you to our notice about forward-looking statements. During this call, we will be making comments, which are forward looking. Forward-looking statements do not guarantee future performance and do involve risks and uncertainty. Examples are described in our SEC filings and other disclosures. Additionally, we will be discussing certain financial measures, which are non-GAAP, and a reconciliation of these items can be found on our website. Richard has some comments to begin our call. I will follow with a brief recap of the first quarter, update our forward guidance and comment on the recent demand environment. Adam and Dan will then talk more about their brands. And then we'll be open the call for your questions. Richard?
Richard Fain: Thank you, Brian, and thank all of you for joining us this morning. As you can see from our earnings release, the first quarter turned out better than we were expecting, and the full year is looking better as well. I'm going to let Brian take you through the details, but, as you know, we ended the quarter $0.10 to $0.15 better than expected. And this improvement carries over into our full-year forecast. Note that the first quarter includes the non-recurring gain from a legal settlement. And then without the gain, our results were just above breakeven for the quarter. This gain was in our forecast and, even without it, we did substantially better than the first quarter of 2009. Now cost control was, and remains, vitally important. We've been talking about that quite a bit recently. But the most important part of the improvement in our earnings is being driven by improvements in revenues. Net yields turned positive this quarter, and were stronger than we expected just three months ago. Now don't misunderstand me, I'm definitely not excited by a 2.6% yield improvement. The economy is clearly still weighing on our performance, and the improvement that we've had is off of a dismal base. But we have now reached an inflection point on yields, and that's an important milestone worth noting. We're certainly not where we want to be, but turning the corner is the first step to real and significant improvement, and we have clearly turned that corner. Now switching to cost, expense controls were once again a meaningful contributor to the quarter's results. And they remain a central tenet of managing the company going forward. The strengthening of the U.S. dollar helped reduce costs a bit in quarter 1, but the majority of the expense feed came from good, old-fashioned focus of the task in hand. I'm also very pleased with what we've accomplished on the fuel front, related both to itinerary and new ship optimization. Despite the run-up we've seen in the worldwide price of oil, the combination of our swap portfolio and our fuel consumption management actually allowing us to reduce our fuel expense calculation for the full year. In addition to these fuel and FX impacts, we continue to have a rigorous focus on our other operating and running expenses. It is not any simple win in this equation, just a constant and continuous focus across all operating and general and admin areas. More broadly speaking, our top priorities at the company continue to be focused on improving our return profile, moving towards an investment-grade rating and further expansion of our global footprint. Strengthening the balance sheet and managing towards an investment-grade rating are a key part of our longer-term strategy. Capital spending for other current expansion program peaks this year, as it is expected to drop in half by next year. At the same time, debt repayments are ramping up a bit, and it's our intention to meet these repayment obligations with operating cash and we'll be deleveraging the balance sheet. Based upon our current guidance, many of our current metrics will show significant improvement this year, and we expect to maintain an improving trajectory over the next few years. Globalization of the company's gas sources is well underway, and going well from both a volume standpoint and strategically. Most of the net new capacity that we're bringing onstream these days is dedicated to the global markets. Said a bit differently, most of the first-time cruisers we're introducing our product to are international guests. In fact, our North American guest sourcing has been flat for the past several years. Now I'm certain someone will ask us about new ship orders, but I don't have much exciting to report. The equation hasn't changed. On the one hand, we see a stronger U.S. dollar, more accommodating shipyards and exceptional performance from our recent ships. On the other hand, we have a strong desire to strengthen the company's balance sheet and credit statistics. We will continue to balance this equation and work to ensure that it is as harmonious and profitable as possible. We will continue to grow, but probably at a slower pace than heretofore. My earlier comments show that I believe, over time, our company will be experiencing improved consumer demand, have a stronger balance sheet and be able to distribute any new capacity across a broader, global-sourcing platform. Altogether, that sounds like a winning combination. In addition, we are also seeing that less sexy, but no less important, investment in upgrading our existing fleet generate very attractive returns. I think it's likely that you will see more of this going forward as well. On the topic of new hardware, though, I just returned from the inauguration of Celebrity's newest vessel, the Celebrity Eclipse. This delivery is the third of the five Solstice-class vessels that the company has ordered. And I must assure you that she is every bit as spectacular and as compelling as her sisters. Consistent with our strategy of international diversification, she was delivered directly to the British market, and began sailing from Southampton on her first revenue voyage the day before yesterday. Her reception in this market has been just terrific and she is selling well. Looking forward, we're very optimistic about the future. We have suffered disproportionately as our revenues declined due to the recession. However, as we now witness the beginnings of the recovery, we expect to benefit disproportionately as well. Brian?
Brian Rice: Thank you, Richard. I'd like to briefly go through the first quarter results, which we've summarized on the second slide. In the first quarter, we had a profit of $87.4 million or $0.40 per share, which was better than our previous guidance of approximately $0.25 to $0.30 per share. Net yields were better than our previous guidance and improved 2.6%. Net ticket yields improved 4.6% and onboard yields were up as well. Other revenue was down due to lower cancellation fees and a slight reduction in our Spanish tour capacity. Our load factors also improved and, for the quarter, we sailed at 103.1%. Excluding fuel, net cruise costs per APCD [available passenger cruise days] were almost 1% lower than the same time last year and better than our guidance above approximately 1%. The improvement was pretty much across-the-board, with our brands doing an excellent job controlling running expenses, and our management continuing to focus on efficiency in our general and administrative areas. Fuel costs came in better than expected despite increases at the pump fuel prices since our last call. Our brands did an excellent job managing consumption, especially on our newer vessels and itineraries. Our hedges also helped mitigate these price increases. All in, net cruise costs per APCD were 2.2% lower than the same time last year, which was better than our previous guidance of approximately flat. As a reminder, our first quarter results did include a gain of approximately $86 million from our previously disclosed legal settlement. Excluding this gain, we generated a slight profit for the quarter versus a loss of $0.17 per share last year. I will also point out that each of our brands exceeded their operating plans for the first quarter. It was also gratifying to see a $300 million improvement from last year in the net cash generated from our operations. Now I would like to provide you with an update on bookings. On January 28, we provided our initial guidance for the year. We were about a month into the wave season and felt confident we would see yields improve between 3% and 6% for the year. Those projections have proven to be fairly accurate, although, since our last call, the demand environment has continued to gradually improve. Clearly, we are not back to pre-recession demand levels, but pricing leverage is slowly returning. Sales since the start of the year had been very healthy, with booking volumes running about 20% ahead of the same time last year. We have also seen a modest improvement in the booking window, with European and Alaska itineraries being the biggest beneficiaries. As of today, the second, third and fourth quarters are booked well ahead of the same time last year. Pricing is clearly better than last year, but, frankly, the comparables are pretty low by historical standards, especially in the second and third quarter. We expect all of our major product groups to show yield improvement this year, but we are especially pleased with the performance of our developmental itineraries. These products are targeted largely to new customers outside of North America, and has been, and will continue to be, a focus of our capacity growth. Our newest vessels continued to command pricing premiums in the market, but the success of our developmental itineraries is also enabling us to see improved yields with the balance of our fleet. On Slide 3, you can see we currently expect yields to improve around 6% in the second quarter and between 4% and 5% for the full year. While we have narrowed the range of our guidance for the full year, the midpoint remains essentially unchanged. From a business perspective, we are feeling better today than we were three months ago. However, since we've provided guidance at the end of January, the dollar has strengthened about 4.3% versus the British pound and 6.7% versus the euro, and consequently devalued the European point-of-sale business. In addition, as we noted in our release, the travel disruptions resulting from the volcanic ash also had a negative impact on yields. Absent these changes, we would be improving our full-year guidance by about 100 basis points, based on the improvements we have seen since the middle of the wave season. While the strengthening of the U.S. dollar has put pressure on yields, it has also helped us on the cost side. Net cruise costs, excluding fuel per APCD, are expected to be down approximately 1% in the second quarter. We have also improved our full-year forecast and now expect these costs to be down approximately 1%. Based on today's spot rates, fuel expense would be approximately $170 million in the second quarter and $678 million for the full year. As we mentioned in our press release, we are hedged 50% for the second quarter and 48% for the balance of 2010. We have also hedged 53% and 40% of our forecasted consumption for 2011 and 2012, respectively. Our total net cruise costs per APCD are now expected to be up around 1% in the second quarter, and flat to down slightly for the full year. Earnings per share are forecasted to be between $0.16 and $0.21 in the second quarter, and between $2.15 and $2.25 for the full year. As of March 31, we had approximately $1.1 billion in liquidity. Our capital expenditures are forecasted to decrease by over 50% next year to around $1 billion, and we have committed financing in place for all of our new builds. Our cash flows are also projected to meaningfully exceed our debt maturities. So for the foreseeable future, we do not anticipate a need to access the capital markets, although we will remain open to being opportunistic. One last housekeeping item before I turn the call over to Adam for his comments about the Royal Caribbean International brand, I am pleased to inform you that we will be initiating XBRL tagging for our SEC filings with this quarter's 10-Q. As a consequence, we expect to file the Q tomorrow morning before the market opens. We hope you find this helpful. Adam?
Adam Goldstein: Thank you, Brian, and good morning, everyone. Brian mentioned the positive contribution of our developmental products to our first quarter yield performance. Developmental products comprised six Royal Caribbean International ships that operated primarily in Brazil, Australia, Singapore, Dubai and Panama during the first quarter. These products are important to the strategic development of our brands because of their focus on local or regional market sourcing in rapidly growing cruise markets. In the case of Singapore, we are talking about the winter complement to our China product that begins now and operates until the fall. While we are pleased with the progress we have made, Royal Caribbean is very much still in learning mode and very focused on achieving further improvements in revenue, cost and guest satisfaction as we go forward. We are excited about the potential of this product range. Last week, Royal Caribbean announced that Mariner of the Seas will leave her base in Los Angeles next January, and operate 2011 programs from home ports in Brazil, Italy and Texas. We have a long history operating from California to the Mexico Riviera, and certainly we hope to return in the future. I have frequently commented on these calls about our commitment to Europe and the potential we see for further growth of the major European markets. As a result of the redeployment of Mariner, in summer 2011, half of our 22-ship fleet will be in Europe, including two of three Freedom-class ships and four of five Voyager-class ships. It is possible that from May to October 2011, Royal Caribbean International will carry more guests on European cruises than any other cruise lines. While the clear majority of our guests on our Europe cruises will come from the European point of sale, we are pleased with the demand we are seeing from North America at this point in the selling cycle. Changing subjects, we are just over six month away from taking delivery of Allure of the Seas, and her construction process is proceeding very smoothly. We have added a four-night, pre-maiden voyage sailing on December 1, and we are looking forward to having our 22nd ship in service. Finally, I would like to thank all of the men and women at Royal Caribbean for the progress we have made on our cost control efforts, while still delivering cruises at very high levels of guest satisfaction. Dan?
Daniel Hanrahan: Thank you, Adam, and good morning, everyone. It's hard to believe that it's been almost a year since the launch of Celebrity Equinox. But as you heard Richard say, we just returned from Southampton where we successfully launched our newest Solstice-class ship, the Celebrity Eclipse. We canceled the two-night, pre-inaugural cruise out of Southampton in order to assist U.K. travelers impacted by the volcano in Iceland. However, our naming cruise out of Southampton and our pre-inaugural cruise out of Hamburg came out very well. The Eclipse is the third in a series of five Solstice-class ships, and it's addition brings the Celebrity fleet to a total of 10. As you know, we're especially excited about Eclipse, not only because she's a gorgeous new Solstice-class ship with an amazing crew, but also because she has two new venues that stand out. The first is the Celebrity iLounge, which is the first-ever Apple computer internet café at sea. We have also added Qsine, our newest specialty restaurant, which delivers an amazingly fun and delicious dining experience, and also features Apple's iPad for the food and wine menus. However, I am most excited about broadening the guest sourcing capabilities for Celebrity, as Eclipse is our first ship dedicated to the U.K. market, operating summer cruises from Southampton. The response from the U.K. travel agent partners, the press and many of our loyal Captain Club members during the naming cruise was extremely positive. Celebrity has made a very strong impression on the U.K. market. During the first quarter, we saw healthy demand for all of our products, the majority of which were Caribbean. Both volume and rate came in about where we had thought at the time of the previous call. Our Solstice-class ships continue to command healthy premiums than the other ships in our fleet, in both ticket and onboard revenue. And it's worth noting, our other ship classes generally performed as planned for the first quarter. This year, summer's Europe season continues to book well for Celebrity, and we expect to see healthy year-over-year volume and pricing increases for our European product. We're seeing our Solstice-class ships booking very well at healthy prices. And again, bookings are holding up very well in our non-Solstice-class ships operating in Europe. Our efforts to build our brand beyond the U.S. market continues to be successful. And for the first time, we are expecting to see a higher percentage of our total bookings for our European cruises coming from outside of the U.S. this season. The Alaska product, where we are once again operating three ships, is also performing well and doing better than what we've seen last year. We are back in Bermuda this summer for the first time since 2007, and we have Solstice sailing out of Fort Lauderdale. Both of these markets are attracting closed-in demand, and we are seeing a high amount of reasonable sourcing. I'm particularly pleased to be back in the Northeast, which has always been an important market to source guests for Celebrity. We have all three Solstice-class ships operating in the Caribbean this fall and winter. And for the first time, we'll have two Solstice-class ships operating seven-night Caribbean cruises out of South Florida when Eclipse arrives from Europe to Miami in November. Our cruises to the Caribbean tend to book closer in than those to Europe and Alaska, so we have less visibility for their performance at this time. I also want to mention that we recently opened deployment for the summer of 2011 and winter 2012 seasons. There are a few key strategic moves I want to highlight. Celebrity Silhouette, our fourth Solstice-class ship will debut in late July and will operate 12-night Holy Land cruises out of Rome in the summer. During the late fall and winter season, Silhouette will do 12 nights Southern and Eastern Caribbean cruises out of Cape Liberty, thus the strategic importance of reestablishing Celebrity in the Northeast, with our Bermuda deployment this summer next. Due to our success in Europe, the brand will operate all four Solstice-class ships in Europe, along with the Constellation for 2011. Constellation has been dry docked in Hamburg, Germany, and she has been Solsticized as we speak. Constellation will be transformed in a little over two weeks' time, as the best venues from the Solstice will be added to the ship. I'm pleased to report that with the addition of Silhouette in 2011, almost 50% of our capacity will be Solstice class. Brian?
Brian Rice: Thank you, Dan. We would now like to open the call for your questions. As a reminder, we ask that you limit your questions to no more than two. If you have more, we would be happy to address them after the call. Miranda?
Operator: [Operator Instructions] Your first question comes from Janet Brashear from Sanford C. Bernstein.
Janet Brashear - Sanford C. Bernstein & Co., Inc.: First question would be, how do you think about the twin priorities of paying dividends at some point, versus deleveraging in terms of timing? And then the second question would be, to tell us a little more about the capital expenditures for your existing fleet upgrade, how much you might want to spend and what your priorities would be, whether they're revenue or cost-driven in terms of the upgrade?
Brian Rice: On the first side, we suspended our dividend previously. I think, by Richard's comments and what we've said previously, we clearly have a focus on delevering our balance sheet and improving our credit metrics. And we do have a goal toward moving toward investment-grade. So right now, we are in a growth phase. We have been spending on ships. Our capital expenditures do drop by more than 50% next year. And we'll continue to evaluate the dividend. But for now, we haven't seen the need to institute it as we try to delever our balance sheet. We have traditionally guided the street for roughly $200 million in non-newbuild CapEx. And for now, we would continue to maintain that guidance, and as we looked to work on our fleet.
Richard Fain: I think the one thing when I made the comments in '09 about possibly doing more on dealing with the existing fleet, we've earlier announced that we are Solsticizing some of the older Celebrity ships, to bring -- roll back some of the things from the Solstice and to other ships. And we have found those kinds of investments very effective. And I think it is possible that we will be looking at more of those in the future. And that could have, at the margins, some impact on our CapEx forecast as we look at those kinds of things. And that also will depend a little bit, relating also to new building.
Operator: Your next question comes from Greg Badishkanian from Citigroup.
Gregory Badishkanian - Citigroup Inc: Just a little color on the European travel disruptions, maybe kind of looking at the costs to see if there are any -- I know you said a little bit less than $0.05, but any impact you think for bookings for Europe during the summer, or you think is kind of back to normal?
Adam Goldstein: This is Adam, Greg. It appears that the booking situation has normalized, and people understand that, that was a bizarre and apparently one-of-a-kind event. And I think, from a European source perspective, it probably has made a drive to cruise opportunities to even appear that much more valuable than they may have otherwise seemed. So we're still looking forward to a positive European season.
Gregory Badishkanian - Citigroup Inc: With respect to cost containment, as bookings continue to improve, as kind of the economy heats up a little bit, what's your ability to contain costs and to cut out new costs, more cost savings over the coming quarters?
Brian Rice: Well, Greg, I think we've been saying now for a couple years that we're working very hard on cost containment. And I think we've got a pretty good track record the last couple of years. Last year, our non-fuel net cruise costs were down about 7%. We're now guiding that those costs will actually be down around 1% this year. I want to temper expectations in terms of cost continuing to go down, but I think we've clearly demonstrated that as we see top line growth, it is our intention to try and drop that to the bottom line. I think our brands have done a great job of finding the right balance between trying to help us improve our returns on investment while at the same time, delivering an outstanding guest experience. And I think we're in a pretty good place right now, and it's our intention to stay there.
Operator: Your next question comes from Tim Conder with Wells Fargo.
Timothy Conder - Wells Fargo Securities, LLC: The first one would be, given the very solid first quarter that you've had here and what with the commentary that you had also looking out for the balance of the year, it would seem that the back half, especially the year, your guidance would be conservative as it relates to net yield. So any additional color there? And then secondly, gentlemen, any additional color on Spain in particular? I think back in January, you said you saw that stabilizing. Carnival [Carnival Cruise Lines] mentions a similar type of comment in March. So just any update on your perspective with Spain? And then they also had said that there've been some problems in Brazil, and I think Adam, you had talked a little bit about Brazil, put some more color from those two geographic areas in particular.
Brian Rice: Tim, I will take the first one and let Richard address Spain in particular. Our yields, as I tried to allude in my comments, we do view the business environment as better and I would remind you that when we gave our first quarter guidance, we had reasonably good insight in the Wave. We are about a month into it, and had included the benefits of what we were seeing at that point in time in our guidance. Frankly, we have seen the market improving gradually since that point in time. And as I alluded to, I think we would be raising our guidance by about 100 basis points if it weren't for FX, as it relates to yield. I would also just comment, I didn't include this in my comments, but our EPS has been affected by about $0.12 for the year as it relates to FX. It's helped us on the cost side, but net of balance sheet changes as well as the revenue in the cost. Cost is about $0.12. And then we have close to $0.05 in there for the impact of the travel disruption because of the volcano. Frankly, we think we've seen good improvement. We baked it in and if you consider that we beat the first quarter by 60 basis points, second, third and fourth quarter have to be going up by more than 100 basis points to account for what I've been describing here.
Richard Fain: And then, Tim, addressing your second question on Spain, the good news is, as you pointed out, I had said last time that Spain has stabilized and it has. And in fact, we are a little bit ahead of budget with respect to Spain. The bad news is that it's stabilized at a terrible level, and the Spanish economy, frankly, doesn't show a lot of signs of improvement yet. So I think we think that is likely to be one of the last to recover. And I think our forecast are predicated on assumption that Spain will continue to be miserable for a while. Sorry to be so blunt.
Timothy Conder - Wells Fargo Securities, LLC: No, I appreciate that. And then in the same context of Brazil, given competitors commenting that, that was maybe a little over capacity in the early part of the year here by the industry?
Adam Goldstein: Yes, Tim, we commented, several of us, on the positive progress of our developmental products. Two of the six ships I referenced were in Brazil during the season, and they both have successful seasons. I think I mentioned previously on another call that this was the first season that we had a company office driving the marketing and sales programs in Brazil to support those products, and we were quite pleased with how it turned out. For this next season starting in December, it's far too early to tell.
Operator: Your next question comes from Sharon Zackfia from William Blair.
Sharon Zackfia - William Blair & Company L.L.C.: I guess, firstly, I know you guys are more focused on ROI. Can you help us understand how that translate into the management compensation, and whether there are any targets embedded in the bonus structure at this point related to ROI?
Richard Fain: Yes, it is a major focus throughout the company. And one of the things that we did do this year was to make it a bigger part of the explicit bonus calculation for 2010. And so there's no question, that tends to focus people's attention, which I think was already well focused here. But I think that added to communicating that and making that a part of everybody's consideration throughout the company.
Sharon Zackfia - William Blair & Company L.L.C.: And then secondly, I guess, since this is the first full quarter that Oasis has been sailing, can you give us an idea of how onboard spending is trending on Oasis versus the rest of the Royal Caribbean fleet? I'm assuming it is better. And then secondarily, just to follow-up on that Icelandic volcano disruption. Where are we going to see that then -- I'm not going to try to pronounce it. Where are we going to see that, kind of, that hit in the P&L? Is that a yield hit? Is that a specific expense that we're going to see? Just where is that going to show up?
Richard Fain: Well, I'll just comment on the volcano, which I won't try to pronounce either. The vast bulk of that is a revenue hit, and I'll ask -- and it will essentially all be in the same quarter. And I'll ask Adam to comment on the Oasis onboard revenue.
Adam Goldstein: In short, her performance is the best in the fleet on onboard revenue, and it is relatively the most positive compared to the expectations that we had for the year. So it has proven to be an even stronger onboard revenue generator than we had foreseen than we were pretty optimistic before.
Sharon Zackfia - William Blair & Company L.L.C.: Are there any things that you're seeing on Oasis that you can rollout to the rest of the fleet? Any particular areas where it does really well on onboard spending that can be translated?
Adam Goldstein: Well, I wouldn't confine that examination to onboard spend. Clearly, there are a lot of learning from Oasis with respect to both guest features and onboard spend potential, which we are evaluating with respect to how we might contribute those features or opportunities elsewhere in the fleet. But we don't have anything to say at this junction.
Operator: Your next question comes from Robin Farley with UBS.
Robin Farley - UBS Investment Bank: I wonder, just to clarify, because you've talked about yield guidance on a same-currency basis, being up 3% to 5% before. And you don't specifically quantify it here, but I mean, you are narrowing your guidance at the high-end of the range, right? In other words, the midpoint of your guidance you're saying is unchanged. But that's only because of currency, which everybody sort of understands the currency move. But your actual demand guidance improved by 100 basis points. I just want to make sure if I'm understanding it on a same-currency basis that, that plus 4% to 5% is what you'd equate your guidance to now. And then also, the $0.05 from the volcano disruptions, it's maybe a little bit more than I would expect it. I think you guys had a press release out quantifying that 6% of your passengers were disrupted and it was really kind of a week disruption. And so 6% of one week of the quarter seems like it wouldn't have as big an impact as that $0.05?
Brian Rice: Robin, you're correct on the yield. We've provided guidance for yields to be up 4% to 5% for the year. If it weren't for the changes in the strength of the dollar since the end of January, that guidance would have been 5% to 6%.
Richard Fain: And Robin, on the issue of the ash cloud, I think the impact was bigger than we first thought it was going to be. Early on, we were pleased that so many people made it to the ships who were in areas where you begin to wonder whether they could. But the knock-on costs sort of came into play, and then it took longer -- speaking as somebody who was trapped on one side of the pond versus the other, it was longer and it just had somewhat more impact than at first we were thinking it might. So it ended up -- and we think it will be less than $0.05, but it's sort of edging up towards that number.
Robin Farley - UBS Investment Bank: And then just to get a little more color as well on your onboard trends, can you give a little more color around what you saw in the quarter? What was really increased in spend versus anything in the numbers that was like minimum contract guarantees or anything like that?
Daniel Hanrahan: Robin, it's Dan. The quarter wasn't driven by minimums. The consumer was, for Celebrity, the way it was seemed to be spending. So we weren't having to go through our partners and asking them to cover us for minimums. So we were pleased with what we saw.
Brian Rice: Robin, I just add that we've said for quite some time that onboard revenues and ticket yields seem to move in the same direction, with onboard revenues tending to be a little less volatile. Our onboard revenues in the first quarter were up a little less than 3%. And as I mentioned in my comments, ticket yields were up around 4.6%.
Operator: Your next question comes from Felicia Hendrix from Barclays Capital.
Felicia Hendrix - Barclays Capital: Just when we start thinking about the Allure and the Oasis together, just wondering if you could help us how should we think about both in terms of pricing, in terms of premiums? And then also as far as cost, I would assume that the Allure is going to be starting out as a better cost base than the Oasis. Just wondering if that's the correct way to think about that?
Adam Goldstein: On the second question, their cost base is essentially the same. Their essentially the same...
Felicia Hendrix - Barclays Capital: Well, I guess what I meant, I should clarify, you're moving up the learning curve with Oasis. So are you starting Allure at a higher point?
Adam Goldstein: It is true that we certainly know a lot more about operating the class of ships going into the second ship than we did for the first, because it was such a revolutionary concept. But I would say those types of opportunities are at the margin of performance. Fundamentally, they're the same ship being operated in the same way. And then on the first question with regards to pricing, I mean clearly, these two ships have been for sometime commanding significant premiums to anything else that's in the Caribbean, certainly, with any of the year-round ships that are in the Caribbean that they compete against, and we would expect for that to continue. It's still quite a ways from Allure being in service. So we'll have to see as we get closer to the season exactly what those premiums prove out to be. But fairly, both ships are in very strong revenue-generating mode.
Felicia Hendrix - Barclays Capital: Clearly, I guess you had two things going on though. You have demand improving in the industry, but then you also have the Allure adding more capacity. So I'm wondering if we should think about the premiums that you quantified when Oasis first came out, or if you've seen those come in a little bit?
Adam Goldstein: Well, there's a doubling of the capacity of that class of ships to be sure, as you pointed out. There maybe some effects of that. But what we're seeing in the marketplace is very strong premiums for these two ships compared to anything else that is there.
Felicia Hendrix - Barclays Capital: And then just this BP oil rig explosion in the Gulf [Gulf of Mexico], is that affecting any of your itineraries?
Adam Goldstein: Not to my knowledge.
Operator: The next question comes from Mickey Schleien from Ladenburg.
Mickey Schleien - Ladenburg Thalmann & Co.: I'd like to go back to the balance sheet for a moment. Before 2008, your debt-to-capital ratio was in the 40s and now it's about 50%. And at the beginning of the call, you mentioned that you like to improve the balance sheet. So what I was wondering is are your expectations more for that to come from free cash flow or from other sources such as perhaps sales of end-of-life ships or additional equity? And my other question is whether you would give us some at least a range of your targeted ROIC?
Brian Rice: Mickey, clearly, the way we intend to improve our credit metrics and our credit rating is through free cash flow. We mentioned that this year, we're expecting $1.5 billion in EBITDA. And I think Richard said before that if it weren't for last year, we would be viewing this year as a terrible year. As we begin to benefit from the new vessels that are coming in and we see some economic recovery in our CapEx dropping in half next year, we're going to have free cash flow that we intend to use to pay down debt. And as we look for our credit metrics to improve over time, it will clearly be through free cash flow.
Mickey Schleien - Ladenburg Thalmann & Co.: And Brian, would you be willing to give us some sort of range of the long-term targeted return on invested capital?
Brian Rice: Well, clearly, our first goal is to achieve our weighted average cost of capital, and we're very focused on that as a high priority for ourselves. And I think we would have similar targets to other companies. We don't have a specific public target out there. As Richard alluded to, we have a short-term incentive to get that number up. But we also have a focus on the near term getting to exceed our weighted average cost of capital.
Operator: Your next question comes from Steve Wieczynski from Stifel, Nicolaus.
Steven Wieczynski - Stifel, Nicolaus & Co., Inc.: Brian, just one question for you. I guess you guys used to give a little bit more color in terms of your presentation, which is online, in terms of forward bookings and if you looked at them if they were indexed back to 2008. And I don't know if you can give me too much color, but if you look at where you guys are booked right now for the second, third and fourth quarters and how much of your capacity has been booked, I think that would be somewhat helpful at this point.
Brian Rice: Sure. I think I used the term in my comments that we're significantly booked ahead of where we were a year ago. I would say it is in the mid- to high-single digits in terms of load factor being that much over the prior year. We actually debated a lot about how much of the slides we wanted to show. And frankly, I think we've made the point of the recovery, and we didn't want to spend a lot of time on that. We wanted to get to your questions more quickly, and we continue to see a gradual improvement throughout the year.
Operator: Your next question comes from Assia Georgieva from Infinity Research.
Assia Georgieva - Infinity Research: Doing a rough calculation, it seems that Q3 yields are expected to be in the 6%, 7% range, let's call it, mid- to high-single digits. Given that the year-ago macro environment was so weak and the fact that we had May and June basically where our booking freeze due to the initial swine flu scare, shouldn't Q3 actually be closer to a 10% yield improvement?
Brian Rice: Assia, we haven't given you Q3. I would say directionally, you're probably not far off. Clearly, we're looking at Q2 and Q3 being the easier comparables for the year. We also, I would say, there's probably more pressure from the dollar strength in Q3 than other quarters given the amount of European sourcing that we have in that quarter. But I think we've tried to be very transparent and clear here. We're not back to pre-recession demand levels, although we feel better about the environment each day. And I think, as Richard alluded to, we've turned the corner and we're seeing a steady, gradual improvement.
Operator: Your next question comes from Steven Kent with Goldman Sachs.
Steven Kent - Goldman Sachs Group Inc.: Maybe we miscalculated this, but it looks like the onboard revenues per occupied room were actually down year-over-year. I was just wondering if you could comment on that, especially in light of you saying that the Oasis ship is showing very good results. And then also, because you are getting such a big premium on Oasis and the new Celebrity ship, what does that say about the rest of the fleet because it's 10% of your overall fleet? So a big premium does affect those results. And then final question, what percentage of your bookings are now coming in direct, either through the Internet or through your own customer representatives?
Brian Rice: The first quarter onboard revenues, as I tried to allude to in my comments, when we -- our public P&L, we clearly break out ticket revenue. And then we have onboard and other. Onboard was actually up a little less than 3%. What's driving the decline in the total there is we had pretty good cancellation charges last year in the first quarter when we were in the post-market meltdown. We had some large group cancellations that we had benefited from. And our Spanish tour operation, we've actually scaled back a little bit. We have been much more focused on the profitability in that area, and we found some of the tours that we were offering were not generating profits. So we terminated those tours. So that's what's causing that change. In terms of the balance of the fleet, yes, the new ships are doing quite well in commanding very nice premiums. We said on our last call that the balance of the fleet was actually slightly positive, and we've continued to see improvement in the balance of the fleet, specifically on some of the developmental itineraries. As I alluded to in my comments, virtually, every single one of our major product groups we're seeing yield improvement in 2010.
Adam Goldstein: Steve, on your question with regard to our Direct business, it's in the mid to high teens for our Caribbean, Celebrity and Azamara brands. And it's been growing slowly. We would probably expect that to be the case going into the future, as people prefer different channels to reach us and consumers get more knowledgeable about the cruise product, both here and in the world. But it's very clear at the same time that we predominantly depend on travel agents to distribute our products, and we will continue to depend on them for the foreseeable future.
Operator: Your next question comes from Samir Bendriss with Pareto Securities.
Samir Bendriss - Pareto Securities: My question was partly addressed, but I'd like to be a bit more specific. How are you going to generate sufficient returns to cover cost of capital going forward? Or even more precisely, do you plan on changing your new building profile and build cheaper ships?
Brian Rice: Samir, clearly, we have the investment in the vast majority of our ships already. And the ships that are under construction, we're not going to change the cost of those. We spent a little more on our ships, and we think we deliver better ships. I think clearly, we need to see improvements in revenue. We've taken a lot of action on the cost side. The brands are working very hard on their deployment strategies. We've invested a lot in these developmental itineraries, and we're seeing good momentum on them. We have a very high category mix with more balconies on the newer vessels, and we're seeing that they're commanding premium. We have a very specific plan within each of our brands to get the returns up there, and projecting where we need to get to. And when we find things that either markets or itineraries or ships that are not performing, we have a clear mandate to figure out how to turn those around.
Samir Bendriss - Pareto Securities: Yes, I guess what I'm asking is that if you, at some point, announce a new build, I guess you will at some point during 2010, can we expect the new building cost per berth to be in line with the recent new builds? Or do you plan on announcing -- and obviously, I know that you can't say too much about it, but are you thinking along those lines of building in the future cheaper ships than you have in the past?
Brian Rice: Samir, we haven't announced any new builds. And I think it's premature to address any of that right now. We haven't talked about what brands we're building for. And clearly, we get it that you have to affect things through the numerator and the denominator. We are clearly focused on making sure that any investment we make are going to provide the types of returns that we need.
Operator: Your next question comes from Ian Rennardson from Bank of America.
Ian Rennardson - BofA Merrill Lynch: To be more specific on the return on capital employee equation, knowing what you know about your capacity and your costs, what net revenue yield do you think you need all other things being equal to get you to a return on capital equal to your ROIC?
Brian Rice: Ian, I think the best way to answer that is if we had '08 revenues today with the cost structure that we have in place, our ROIC would probably be in the range of about 8%, which is still clearly not where it needs to be. But I think our focus, again, on making sure that we're competing in the right markets with the right vessels and the right itineraries is a major focus of how we're going to get that up to where it needs to be.
Operator: Your next question comes from Janet Brashear with Sanford C. Bernstein.
Janet Brashear - Sanford C. Bernstein & Co., Inc.: I wonder if you could tell us a little more about your development products. As I recall, that's growing to about 10% of total product, and maybe you could just tell us a little more. I think you said that it's positive net revenue yield right now. Is that a mix between markets? Some markets positive, some negative, and on-balance positive? Or is that pretty well distributed across this developmental market?
Adam Goldstein: It's quite well distributed across the markets that I mentioned earlier. This, of course, is not exactly the same in every case. But in general, the ships collectively and individually had very pleasing winter seasonal performance in terms of the North American winter season.
Janet Brashear - Sanford C. Bernstein & Co., Inc.: And so if you were to look at your developed markets where we have Europe and North America, what sort of pricing trends are you seeing given the capacity ships? Are you starting to see North American pricing better than Europe based on capacity moves?
Adam Goldstein: It's not really so much capacity than does the effect of currency being more on Europe point of source. So in local pricing terms, we're really just seeing positive development in both areas. I have mentioned earlier, we're happy with where we're seeing from North American point-of-sale. For European cruises, the yield outlook there is very positive for our brands. And in Europe, we're seeing positive yield development even in spite of the foreign currency pressures, which shows that in constant dollars, the performance in Europe point-of-sale is also favorable.
Brian Rice: Well, Miranda, it looks like we've worked through the queue of questions. So I'd like thank everyone for joining us today. And Ian will be available throughout the day, if any one has any more questions. And with that, we wish you a great day. Thank you.
Operator: This concludes today's conference call. You may now disconnect.